Operator: Welcome to the Health Catalyst First Quarter 2023 Earnings Conference Call. At this time, all participants have been placed on a listen-only mode and the floor will be open for your questions following the presentation. [Operator Instructions] I would now like to turn the call over to Adam Brown, Senior Vice President of FP&A and Investor Relations.
Adam Brown: Good afternoon, and welcome to Health Catalyst's earnings conference call for the first quarter of 2023, which ended on March 31, 2023. My name is Adam Brown. I'm the Senior Vice President of Investor Relations and Financial Planning and Analysis for Health Catalyst. And with me on the call is Dan Burton, our Chief Executive Officer; and Bryan Hunt, our Chief Financial Officer. A complete disclosure of our results can be found in our press release issued today as well as in our related Form 8-K furnished to the SEC, both of which are available on the Investor Relations section of our website at ir.healthcatalyst.com. As a reminder, today's call is being recorded, and a replay will be available following the conclusion of the call. During today's call, we will make forward-looking statements pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995 regarding trends, strategies, the impact of the macroeconomic challenges, including high levels of inflation and high interest rates, the tight labor market, our pipeline conversation rates and the general anticipated performance of the business. These forward-looking statements are based on management's current views and expectations as of today and should not be relied upon as representing our views as of any subsequent date. We disclaim any obligation to update any forward-looking statements or outlook. Actual results may materially differ. Please refer to the risk factors in our Form 10-K for the full year 2022 filed with the SEC on February 28, 2023, and our Form 10-K for the first quarter 2023 that will be filed with the SEC. We will also refer to certain non-GAAP financial measures to provide additional information to investors. A reconciliation of these non-GAAP financial measures to their most comparable GAAP measures is provided in our press release. With that, I’ll turn the call over to Dan. Dan?
Dan Burton: Thank you, Adam. And thank you to everyone who has joined us this afternoon. We're excited to share our first quarter 2023 financial performance, along with additional highlights from the quarter. I will begin today's call with some commentary on our first quarter 2023 financial results by assuring that we are pleased with the company's overall financial performance. Our Q1 2023 total revenue was $73.9 million, representing 8% growth year-over-year, and our adjusted EBITDA was $4.2 million, with these results beating the midpoint of our quarterly guidance on each metric. Additional financial highlights from the first quarter include our technology revenue of $47.2 million, representing 12% growth year-over-year, and our adjusted technology gross margin of 70%. Now let me highlight some additional items from the quarter. You will recall from our previous earnings calls that we measure our company's performance in the three strategic objective categories of improvement, growth and scale, and we'll discuss our quarterly results with you in each of these categories. The first category, improvement, is focused on evaluating our ability to enable our clients to realize massive, measurable improvements while also maintaining industry leading client, and team member satisfaction and engagement. Let me begin by sharing a couple of examples of client improvements from recently published case studies. First, as part of its Accountable Care Organization Participation, UnityPoint Health needed advanced analytics capabilities to support its achievement of shared savings in its risk based contracts. To achieve this goal, UnityPoint partnered with Health Catalyst leveraging our data platform and robust suite of analytics applications to develop standard analytics processes, measures and tools that are now used across its organization. This data informed approach has driven material success in its Accountable Care Organization's risk based contracts, including an average achievement of $35 million in annual shared savings as part of UnityPoint's next-gen ACO shared savings participation in 2019 and 2020 largely the result of improved care processes and decreased post discharge utilization. Next, Blessing Health System, in an effort to meaningfully improve its revenue integrity and charge capture efforts, implemented our VitalIntegrity application, a component of our Financial Empowerment Suite benefiting from VitalItegrity's rules, management system, advanced reporting and analytics and auditing processes, Blessing help leveraged our software to not only integrate centralize and visualize charge capture issues, but also to identify root causes and quickly address them to reduce revenue leakage. Adopting our technology enabled Blessing to increase its revenue by $552,000 in the first full year, and achieve a greater than 25% increase in charge capture team member productivity, creating capacity for increased performance audits, issue identification and resolution, while also successfully auditing 100% of all charges. As you can see illustrated in these recent improvement vignettes with UnityPoint Health and Blessing Health System, our solution continues to deliver meaningful hard dollar ROI across our client base, which is particularly important to our clients in this operating environment. Also in the improvement category, we have been fortunate to receive additional recent external recognition related to our team member engagement. For the 6th year in a row, the Women Tech Council named Health Catalyst to its annual Shatter List, the Council's list of technology companies with active programs leading and accelerating progress towards breaking the glass ceiling for women in the industry. Our next strategic objective category is growth, which includes beginning new client relationships while also expanding existing client relationships. Related to our current selling environment, I have now, over the last 10 months, personally had over 130 opportunities to visit face to face with senior executives at our top 100 clients. As I along with our growth organization, have synthesized recent feedback from our clients and prospects. I would share that we continue to see similar headwinds and tailwinds related to our growth in 2023. As what we shared in our recent Q4 2022 earnings call. As it relates to headwinds, our health system end market continues to experience meaningful financial strain, primarily due to significant increases in labor and supply costs without a commensurate increase in revenue, leading to substantial margin pressure. We continue to anticipate this dynamic will persist for the next few quarters. translating this to our business, we have seen a decrease in pipeline demand in some realized and anticipated elevated churn levels, primarily for the parts of our solution portfolio that do not offer near term financial ROI, such as our clinically focused technology offerings, and our more traditional consulting professional services. As it relates to tailwinds, while we have seen that the financial strain has continued to pressure out system budgets. In our recent sales conversations, we have also received strong acknowledgment that our portfolio includes solutions that directly reduce health systems current financial pressure, especially related to the segments of our offering, that have a clear near term financial ROI, such as our tech-enabled managed services offering, our financial empowerment technology suite, and components of our population health technology suite. Likewise, as I step back and reflect on our progress over the last few quarters, I am confident that our go-to-market focus on strategic, demonstrable ROI solutions is resonating across our client base, and that the breadth and comprehensive nature of our end to end solution is well suited to serve our health system end market in this current market environment. Influenced by the headwinds and tailwinds that I just described, Q1 2023 overall pipeline development and bookings conversion rates, inclusive of tech-enabled managed services performed largely in line with expectations. And our sales pipeline continues to support the 2023 bookings expectations shared on our most recent earnings call. As such, we are reiterating our 2023 bookings expectations, inclusive of net new DOS subscription client edition in the low double digits, and $1 based retention rate between 102% and 110%. Related to our full year 2023 bookings expectations, let me share some additional commentary, which largely aligns with what we shared on our recent Q4 2022 earnings call. First, we continue to anticipate a higher proportion of our gross bookings will come from our existing client base, as compared to historical levels, inclusive of upsells to both our DOS client base, as well as upsells to our over 400 other more modular non DOS clients. Aligned with what we shared last quarter, this expectation is driven by the current end market dynamics, in which we have observed that many existing clients who have already realized a strong ROI and are aligned on a long term partnership framework tend to be more receptive to expansion conversations in this financial environment. Next, we continue to anticipate our 2023 Professional Services dollar based retention achievement will be higher than our technology dollar based retention rate, largely driven by our tech-enabled managed services expansion achievement to date, and pipeline. Additionally, we anticipate that the elevated technology churn levels primarily for the parts of our portfolio that do not offer near term financial ROI will be more heavily weighted towards the first half of 2023, inclusive of some smaller, more modular DOS relationships. Next, let me share that we continue to anticipate a higher portion of our net bookings will occur in the second half of the year, as compared to our historical average, largely resulting from the anticipated timing of our larger pipeline opportunities, inclusive of our tech-enabled managed services pipeline. Lastly, we continue to expect that our new DOS plan additions will have a lower average starting ARR as compared to historical levels, driven by the current end market dynamics influencing a greater proportion of clients to start with a more modular solution as compared to historical levels. Next, I'm excited to announce a meaningful expansion of our tech-enabled managed services partnership, with our longest standing client Allina Health. This expansion which includes more chart abstraction responsibilities shifting to Health Catalyst increases our recurring revenue with Allina to now be approximately $11 million per year. We continue to appreciate Allina’s multifaceted partnership and trust in Health Catalyst since the beginning of our relationship with them nearly 15 years ago, and we are encouraged to see other potential areas of expansion with them in the future. We look forward to welcoming these teammates to Health Catalyst in the near future. Additionally, we are excited to announce a new DAS plan partnership with Sea Mar Community Health Centers, a national leader in health and social services delivering high quality, integrated care for underserved communities, specializing in service to Latinos in Washington State. Sea Mar services include a network of more than 90 medical, dental, and behavioral health clinics, and a wide variety of nutritional, social and educational services. Sea Mar will leverage our technology including our data platform, Pop Analyzer, Pop Insights, and Self-Service Analytics, along with our professional services, in order to make more proactive data informed decisions throughout their patient care. We are honored to welcome this mission aligned healthcare provider into our client base. Lastly, prior to turning the call over to Bryan, I would like to share a couple of additional updates related to new leadership promotions to Health Catalyst connected to our annual planning process and in response to the company's continued growth and expansion. First as previously disclosed, Anne Marie Bickmore has been named Health Catalyst’s Chief Operating Officer, in addition to her responsibilities as Chief Product Officer. Anne Marie has served in various leadership roles in Health Catalyst since joining the company in 2012. Most recently as our Chief Product Officer since 2021. Anne Marie’s contributions to Health Catalyst’s historic success are significant and I am thrilled to expand and raise set of responsibilities and leverage her proven ability to lead high performing teams and develop innovative products to further to health catalyst’s mission. As a reminder, Paul Horstmeier, Health Catalyst’s prior Chief Operating Officer, has taken a three year leave of absence to serve as a mission president for the Church of Jesus Christ of Latter-day Saints. I would like to once more acknowledge and thank Paul for all that he has done for Health Catalyst over the course of more than a decade, and we look forward to his return in a few years. Additionally, as previously disclosed, Ben Landry has been promoted to General Counsel and Corporate Secretary. Ben has been with Health Catalyst since 2019, most recently serving as Assistant General Counsel. Ben has a proven track record of wise counsel and strategic thinking. And I am confident he will enable Health Catalyst to continue its position as a leading health care company. I also want to thank Dan Orenstein for his many contributions to our company's success as general counsel over the last seven years, as he transitions to a strategic advisor role. Lastly, as part of our normal course annual planning cycle, we have simplified our business unit structure, leading to expanded responsibilities for TJ Elbert as the General Manager of our Data Platform Business Unit, Dan Unger as the General Manager of the Improvement Applications Business Unit, and Dan LeSueur, as the General Manager of the Professional Services Business Unit. I'm confident in each of these leaders capabilities in driving our growth and profitability moving forward. With that, let me turn the call over to Bryan. Bryan?
Bryan Hunt: Thank you, Dan. Before diving into our quarterly financial results, I want to echo what Dan shared and say that I am pleased with our first quarter performance. I will now comment on our strategic objective category of scale. For the first quarter of 2023, we generated $73.9 million in total revenue. This represents an outperformance relative to the midpoint of our guidance, and it represents an increase of 8% year-over-year. Technology revenue for the first quarter of 2023 was $47.2 million, representing 12% growth year-over-year. This year-over-year growth was driven primarily by recurring revenue from new client additions, and from existing clients paying higher technology access fees as a result of contractual books and escalators. This quarterly revenue performance was slightly higher than anticipated in our quarterly guidance, due to a few technologies environment go lives that generated a deferred revenue catch up occurring earlier than forecasted. Professional Services revenue for Q1 2023 was $26.7 million representing 3% growth relative to the same period last year. This amount was also slightly higher than anticipated in our quarterly guidance. Mostly the results of a timing related pull forward from a few nonrecurring revenue items that we had forecasted to hit in subsequent quarters. Given that this upside resulted from nonrecurring revenue items that were primarily timing related, we do not anticipate that these quarterly revenue outperformance items will represent upside to our full year 2023 forecasts. For the first quarter of 2023 total adjusted gross margin was 52%, representing a decrease of approximately 270 basis points year-over-year. In the Technology segment, our Q1, 2023 adjusted technology gross margin was 70%, a decrease of approximately 20 basis points relative to the same period last year. This year-over-year performance was mainly driven by headwinds due to the continued costs associated with transitioning a portion of our client base to third party cloud hosted data centers in Microsoft Azure, which increases our hosting costs, partially offset by existing clients paying higher technology access fees from contractual builds and escalators without a commensurate increase in hosting costs. In the Professional Services segment our Q1, 2023 adjusted professional services gross margin was 20%, representing a decrease of approximately 900 basis points year-over-year, and an increase of roughly 260 basis points relative to the fourth quarter of 2022. This quarterly performance was slightly higher than the expectations we shared on our last earnings call, mostly the result of the Q1 higher margin, nonrecurring revenue milestones mentioned previously. In Q1, 2023 adjusted total operating expenses were $34.2 million. As a percentage of revenue adjusted total operating expenses were 46% which compares favorably to 54% in Q1, 2022. Adjusted EBITDA in Q1 2023 was $4.2 million. With this performance exceeding the midpoint of our guidance, and representing an increase of $3.5 million relative to the same period last year. This Q1, 2023 adjusted EBITDA results was mainly driven by the quarterly revenue outperformance mentioned previously. Along with the timing of some non-headcount expenses that we anticipate will be pushed out to later in the year. Our adjusted basic net income per share in Q1 2023 was $0.05. The weighted average number of shares used in calculating adjusted basic net income per share in Q1 was approximately 56.3 million shares. Turning to the balance sheet. We ended Q1, 2023 with $356.9 million of cash, cash equivalents and short term investments compared to $363.5 million at year end 2022. Additionally, the face value of our outstanding convertible notes is a principal amount of $230 million. And the net carrying amount of the liability component is currently $226.9 million. As it relates to our financial guidance for the second quarter of 2023, we expect total revenue between $70.3 million and $74.3 million. And adjusted EBITDA between $0.75 million and $4.75 million. And for the full year 2023, we continue to expect total revenue between $290 million and $295 million. And adjusted EBITDA between $9 million and $11 million. Now, let me provide a few additional details related to our 2023 guidance. First, as it relates to our Q2 2023 revenue expectations, we anticipate that our Technology segment revenue will be flat to slightly down quarter-over-quarter, primarily driven by the previously mentioned Q1 go lives that generated a deferred revenue catch up. For our Professional Services segment, we anticipate that our Q2 revenue will also be flat to slightly down sequentially, mainly driven by the previously mentioned pull forward to Q1 for a few nonrecurring revenue items. Next, in terms of our adjusted gross margin, we continue to anticipate that our adjusted technology gross margin will be in the high 60s in the second quarter. In the Professional Services segment, we anticipate that our Q2 Professional Services adjusted gross margin will be flat to slightly down as compared to Q1 2023. Lastly, we anticipate our operating expenses will be roughly flat to slightly up relative to Q1 2023 mainly the result of some non-headcount expenses that we now anticipate will occur in Q2, as opposed to Q1 2023. Next, let me share a few additional details related to our full year 2023 guidance, which is largely consistent with what we shared on our Q4 2022 earnings call. From a revenue mix standpoint, we continue to anticipate professional services year-over-year revenue growth will slightly outpace technology year-over-year revenue growth driven by the heavier weighting of our tech-enabled managed services bookings. Next, in terms of our adjusted gross margin, we continue to expect that our adjusted technology gross margin will be in the high 60s through 2023. Also, we anticipate our adjusted professional services gross margin will be roughly 20% for the year, given that our anticipated utilization rates will continue to be lower than historical levels for the next couple of quarters. And that our mix of professional services is comprised of a larger percentage of tech- enabled managed services, which start out at a lower gross margins expand over time. Lastly, we continue to anticipate our adjusted operating expenses, as a percentage of revenue will be down between approximately 500 to 750 basis points in year-over-year, largely the result of our restructuring efforts, and meaningful continued operating leverage, with the largest year-over-year reduction occurring in SG&A. With that, I will conclude my prepared remarks. Dan?
Dan Burton : Thanks, Bryan. In conclusion, I would like to recognize and thank our highly engaged clients and team members. Without their consistent contributions to our shared mission, none of this would be possible. And with that, I will turn the call back to the operator for questions.
Operator: [Operator Instructions] Our first question is coming from Anne Samuel with JPMorgan.
Anne Samuel: Hi, guys. And thanks for the question. And congratulations on the great results. I wanted to ask about the hospital customers, it seems like commentary that we've heard out of some of the more publicly traded hospitals that have reported so far, it's actually been a little bit better around labor, but still very focused on cost management. And I was wondering if perhaps as a result of that you're seeing maybe any shifts in what types of products your customers are looking to utilize? Or if it's still similar to what you saw in prior quarters.
Dan Burton : Yes, thank you, Anne, for the question. We are also observing among our client base that over the last few months, there's been a slight improvement in their overall financial performance, though it is only slight in our experience, both across the not for profit health systems and the pro profit health systems that we work with. We've also observed that there's been a slight easing of the pressure on labor expenses. That has been so significant over the last few years, but in our experience and my direct conversations face to face with these clients, it's still at significantly elevated levels of expense and expense growth, relative to what we might have experienced five years ago as an example. And so while the trend is slightly better, the overall performance of these health systems from a financial perspective is still I would characterize as under meaningful financial pressure. And that includes in the labor category, and to your point in non-labor categories, like supplies expenses, and other expenses as well. So there's still meaningful financial pressure that is still largely from my direct experience and our direct experience, recently, in terms of face to face conversations with our top 100 clients, still the primary focus for these clients. And as a result, as we shared in our prepared remarks, we continue to focus on those parts of our solution that offer that near term ROI. And that still is the primary focus of our clients, we do anticipate over the coming quarters, that hopefully, as we continue to see some slight improvements, that there will be more of an openness to discuss other parts of our portfolio that also meaningfully contribute to improvement. But it might not deliver as many short term financial ROI elements as some of the other components for our solution. I would still classify the current environment is very much largely still focused on that near term financial pressure and the near term financial ROI that's needed.
Anne Samuel: That's really helpful color. And thank you, and hopefully we start to see some green shoots soon. You spoke about the opportunity to sell into your modular client base and you have a lot of those customers now. I was hoping you could speak to what proportion of your low double digit new DOS clients who expect to come from that base, and maybe what the cross-sell opportunity looks like down the line with that base just given you have so many of those clients?
Dan Burton : Yes, great question. We do think about the foundation of our growth over the next several years really coming from our full existing client base, and then includes, obviously our 100 or so DOS subscription clients, but also the other 400 or so, clients where we have a relationship that's more modular to your point, but there's an open door there that's a meaningful difference from starting from scratch with a prospective client and so I would characterize that we're thinking of a large percentage of those net new DOS subscription client adds coming probably from that base of the 400 plus, non DOS clients that we have, where we have that open door, and an opportunity to visit with them without expanding the relationship, though, we will still have some meaningful adds we anticipate from prospective clients as well.
Bryan Hunt: Let me add, Anne, is in terms of the use case and focus areas that we are engaging with those types of prospects and existing clients to Dan's point, they focus again on those near term, hard dollar savings opportunities. So things like our financial empowerment suite, coupled with our data platform, as well as the meaningful kind of technology enabled managed services opportunities that those health systems also can benefit from, in terms of saving costs.
Operator: Our next question comes from Ryan Daniels with William Blair.
Jared Haase: Yes, good afternoon. This is Jared Haase for Ryan, thanks for taking the questions. And congrats on a solid start to the year. I was hoping to get a little more color on the Allina relationship. I was just hoping you can maybe speak to how that's evolved over the years. And specifically then what drove this tech services expansion? And I think you said approximately $11 million per year. But could you just maybe help us understand what's incremental in terms of how big that expansion was?
Dan Burton : Yes, absolutely. Thanks for the question, Jared. So as we mentioned in our prepared remarks, Allina is our longest standing client relationship. And we're coming up on our 15th anniversary as a company in our 15th anniversary with them here in a couple of months. And over time that relationship has evolved and changed and expanded really meaningfully. As we've mentioned, previously, Allina was the first client to enter into a tech-enabled managed services relationship with Health Catalyst about eight and a half years ago. And that relationship is expanding that tech-enabled managed services scope, is expanding with this most recent contractual expansion. And as we mentioned in the prepared remarks, that expands our responsibility for chart abstraction, and represents a few million dollar expansion, just meaningful in the context of that overarching relationship. And as we mentioned, the prepared remarks we are excited about additional opportunities to expand. And I think, in terms of what led to the expansion opportunity at a foundational level, this is true with Allina and it's true with all of our clients. The foundational element that opens the door for expansion is great delivery, against the existing scope of responsibilities that we have. And that always needs to be the foundation of our focus. And that has been the case of Allina. And we've been grateful throughout the partnership that have really meaningful shared success together. And Allina like so many other health systems is facing additional financial pressure. And this was an opportunity to help them with regards to the financial pressures that they're facing, with Health Catalyst being viewed as a trusted long term partner, where we had had success in this kind of a partnership model for many years. And so this was an exciting opportunity for us to expand in a relationship model that both sides knew was working well. And it's one of the reasons why we're excited about potential for additional expansion opportunities in the future.
Bryan Hunt: Just add to that, Jared, and Dan kind of alluded to the directional kind of size of that expansion. But this is an example where Allina has chosen to expand meaningfully over several years and over time, as compared to other examples where we can engage with a client who may take on a larger portion at once like with Carle or INTEGRIS, those recent expansions that we had so grateful to have kind of different options for clients in terms of the level of expansion over time.
Ryan Daniels: Absolutely, yes, that makes sense and appreciate all the color. And then maybe I'll sneak one in on the other customer announcement. It seemed like there was a health equity component with the Sea Mar win. So I'm wondering if you could maybe speak to the role of that sort of data and helping clients achieve equity initiatives and maybe how you communicate that as a value proposition to clients.
Dan Burton : Thank you for bringing that up, Jared. And health equity is something that we cared a great deal about. We try to start with Health Catalyst, first and foremost. And then it extends to our clients to health equity component to our data and analytics and improvement, tech-enabled services that we offer to clients. And we certainly always welcome clients who have a deep mission alignment and Sea Mar is certainly one of those clients that deeply cares about out the patients and the members that they serve, and has a passion around how health equity and data and analytics plays such an important role in understanding where each health system is on their journey towards equitable care. And we have a specific solution that we've now implemented across many clients. That will also be available to Sea Mar to ensure that first we understand how well we're doing, where we're doing well, where we could improve. And then we specifically focus on those areas of improvement and see measurable improvement results as we focus in those areas. And that's our intent and our shared focus with Sea Mar among other areas of focus, and it will continue to be our focus with many other clients as well.
Operator: Next question comes from Jessica Tassan with Piper Sandler.
Jessica Tassan: Hi, thank you guys so much for taking the question. So Dan, I know you've been visiting customers for the last maybe six or nine months, or actively visiting customers for the last six or nine months. Do you have a good sense at this point of customer intention with respect to kind of contract persistence across the entire base? And then just curious to know what percent of the DOS space is going to have managed services attached by the end of 2023? And kind of when do we expect churn or retention rate to normalize and at what level? Sorry, that's a lot. Thanks.
Dan Burton : Yes, great questions so I am just taking some notes. So, Jess, thank you for those questions. So first, as it relates to those customer visits, yes, over the last 10 months, as mentioned in the prepared remarks, I've now had over 130 opportunities to have face to face discussions with our top 100 clients. And that's not going to stop. And it's not just me, it's the team that's going out and visiting face to face with these clients. And that very much informed what we shared in terms of both headwinds, as well as tailwinds that our clients are facing on the headwind side, as we've mentioned, in previous quarters, as well, we continue to observe. I continue to observe that there's meaningful financial pressure. And while that's improving slightly, it's pretty slight, in terms of operating margin performance, and there's still very, very significant financial pressure. And that's one of the reasons why we see both on the tailwind side elevated interest and elements of our portfolio that offer that near term ROI, like tech-enabled managed services, like the Financial Empowerment suite like elements of our pop health suite. And we're excited and encouraged to see large meaningful pipeline opportunities there primarily with our existing clients. And then on the flip side, we see headwinds, as we've mentioned, in our prepared remarks today, and over the last few quarters, as it relates to, particularly for us, more of our smaller, more modular client relationships, and particularly those modules in client relationships, where those modules don't offer a near term, financial ROI. And so we see a little bit of elevated, continued elevated, somewhat elevated churn in that category. So there are both headwinds and tailwind. I would share that from the tone perspective. I've been appreciative of the way in which are our top 100 clients in particular, view Health Catalyst as an important long term partner are encouraged and excited about long term expansion in that relationship, and that's where I would classify maybe some of the headwinds is more near term to mid-term, which gets to one of your questions around normalizing churn. And I do think maybe for a couple more quarters, we might see the results of some of that elevated financial pressure, resulting in a little bit more modular churn and then what might happen might have happened a few years ago. But on the on the flip side, I feel like the tailwind interest in those parts of our portfolio that are meaningfully delivering against hard dollar financial ROI are more of a permanent tailwind, a long term tailwind. And maybe that gets to your last question about where do we see the client base, materializing from a technical data services perspective? Right now we're sitting at around 10% of our DOS subscription clients that have a tech-enabled managed services relationship. I certainly hope that five years from now that number will be 100% and will work very well with our clients to enable them to tap into those advantages. But as we've also shared, we're finding as we gather data on the pipeline conversion and the timing and cadence, that it takes some time to work through those expansion opportunities and a one year timeline might be a reasonable expectation. And that is one of the reasons why we continue to forecasts that more of our overall bookings will likely happen in the second half of this year as we really started those significant discussions about cyber teams like Tim's starting in the July timeframe of last year.
Bryan Hunt: And just to add, Jess, great questions. Yes, to Dan's point, that 10% penetration rate, roughly of the tam’s opportunity is applicable to our DOS client base. And we do anticipate as Dan shared a few more wins. Like we've seen the last few quarters with Carle and Integris and Allina, as we continue forward through the rest of 2023. So we're encouraged by that pipeline. The other nice thing is that even with an existing tam client, like Allina, there are still opportunities to expand further be in different areas with analytics with further chart abstraction opportunities and other areas that our clients are potentially interested in. So that's also a nice potential runway for us as we deepen the tams footprint, as well as expand within those clients.
Dan Burton : And just one note, along those lines, Jess, we have the most experiences expanding in technical managed services relationships around areas like analytics, and chart abstraction, data management, we have quite a bit of experience now there with many clients that are leveraging our capabilities and our teams to do that, we are finding that we have a number of clients that are asking us about some other adjacent areas where they might want us to consider tech-enabled managed services. And so we try to be very careful and thoughtful, as we consider those other growth opportunities, expansion opportunities to try to make sure that we have some tech components that we can directly leverage to drive efficiencies. And we feel strategically like this is an area that we would like to occupy and that we feel we can be differentiated long term. But that is something that is included in our pipeline is a lot of opportunities in these core areas where we have a lot of experience, and then some opportunities that are adjacent to those areas as well.
Jessica Tassan: Thank you. That's helpful. And I might just one which is the, with respect to the ACO enablement or the data management to support the ACO. What exactly is our catalyst doing to support kind of shared savings performance? And then just I don't know if you have today or have an opportunity to share in the economics of some of the savings you are generating. Thanks.
Dan Burton : Yes, great question. So we do have the opportunity to work with a number of ACO clients. And actually, the first improvement case study that we leverage is probably a great example. And there's more details about the UnityPoint shared savings success story on our website, and maybe we can follow up and just send you some more information about that. But that was a significant opportunity. And a good example of what we have to offer from a data platform perspective. And then from analytics and an expertise perspective to help our clients be really successful with those shared savings programs.
Bryan Hunt: Just on the financial side of that, Jess, we have been open to some kind of shared savings, contractual elements with our clients in the past. We haven't seen a lot of upticks on that in terms of that contracting model. But it's something that we're open to over time and just typically what we see from clients is that they often just want to benefit from more of a locked in fixed kind of visibility on budget. That is something just to Dan's point, based on what we can deliver that we're open to for them.
Operator: Our next question comes from Elizabeth Anderson with Evercore ISI.
Elizabeth Anderson: Hey, guys, thanks so much for the question. One of the things I noticed on your balance sheet this quarter is this since the accounts receivable ticked up sequentially by a fair degree. Could you talk about sort of what were the driving factors of that on a quarter-over-quarter basis?
Bryan Hunt: Yes, good. Good question, Elizabeth. So we typically don't speak to trends in that much detail on a quarterly basis for the reason being that a lot of our invoicing for our contracts can be fairly lumpy from a timing standpoint, so there can be larger one time annual technology invoices, professional services invoices. So we had a little bit of that in Q1, where that ticked up. But you should see that kind of move around as those get collected. And so I wouldn't take too much from it other than we do have a fairly lumpy kind of invoicing model.
Elizabeth Anderson: Got it. So we shouldn't read that as a sign of like financial sort of stress on any of your customers part.
Bryan Hunt: No, not outsized compared to what we've seen in the last, yes, couple of years.
Elizabeth Anderson: Okay, perfect. Just want a quick follow up. I know you tech, and that was very helpful, good details that you gave on the gross margin in the second quarter. Can you just talk about the sort of any particular pulls on the gross margin in the back half of the year, particularly as we think about the technology segment?
Dan Burton : Yes, definitely. So yes, we were pleased to see the technology gross margin ticked up a little bit in Q1. So roughly 70% was our performance. We did share in the prepared remarks, Elizabeth, that we anticipate that to be in the high 60s range for the next remaining quarters of 2023. And the main drivers of that are primarily that we did have some kind of earlier revenue recognition in Q1 on the technology side than we had forecasted to occur later in the year. And so some of that revenue was pulled forward, and some of that dropped down to the gross profit level. So if you kind of normalized for that back Q1 dynamic, we do view our technology gross margins is in that high 60s range, which is ticked up from a couple of years ago, but is kind of consistent with what we've shared the last couple of quarters.
Operator: Our next question comes from Stephanie Davis with SVB Securities.
Anna Kruszenski : Thanks, guys, this is Anna Kruszenski for Stephanie, thank you for taking your questions. And congrats on the quarter. And first love to hear more about how the tech-enabled outsourcing timeline you're shaping up, then you said that you're still expecting about a 12-month sales cycle for these deals. But curious if there's any potential to accelerate that given the [inaudible] in 1Q.
Dan Burton : Yes, thank you, Anna, for the question. And we do see kind of a spectrum of ways in which these things play out. But we're still limited in terms of the number of data points that we have. And when we look at the data that we have thus far, it does average around about one year timeframe. On one hand, from the tailwind perspective, as it relates to the timeline these are existing clients in most cases, where we have a deeper relationship, and there's a lot of trust. On the other hand, there's a lot of complexity. And this affects individual people's lives, changing who their employer is in many cases. And these are very large contracts in a number of cases. And so that often takes a little bit more of an approval process. Sometimes it goes up to the board. And one of the benefits, I think of this kind of a model is it's our opportunity, my opportunity to get to know C-suite executives and even board members as part of these expansion discussions. But that takes some time. And what we have found is it's worth the time, it's worth not rushing these things, in order to really set things up for success. And a lot of what we've also described when we set up these technical enabled services relationships is that they're long term, they're often five year contracts, and renewable for five years. And so we want to make sure that everyone feels really good about the structure. And sometimes that takes a little bit longer. But in the context of the long term relationship, it's worth it. And that's where we've tried to kind of optimize for all the most important factors even when sometimes we wish we could go a little bit faster. But in the context of the long term relationship, it's worth taking a little bit more time.
Anna Kruszenski : Got it. That's helpful. Thank you for that color. If I can do a quick follow up. And also curious about the sizing and rollout of this Sea Mar win and should we be thinking about this as a potential strategy shift into expanding into the ambulatory space?
Dan Burton : Thank you for that question. We are excited about the work that we're able to do in the ambulatory space. And we view that as a major trend, if you would, if you think about the next 5 or 10 years and healthcare delivery is such an important part of the delivery ecosystem. So we're excited about any opportunity for us to do more in an ambulatory setting. We do believe there's a lot to add, a lot of value to add within the ambulatory setting, whether it's with standalone providers that are only focusing on that ambulatory setting, or if it's with a larger health system that has a meaningful ambulatory footprint, increasingly, most health systems are trying to increase their ambulatory footprint and so we're trying to be a great partner in increasing our offerings and our focus in ambulatory setting as well. And we believe that incorporates both technology that we can offer to improve ambulatory performance, operational performance, pop health performance, and it involves expertise and services, could even involve tech-enabled managed services in the future as well. So we're really excited about the work that we're going to do with Sea Mar, we're excited about continuing and expanding work in the ambulatory setting that we're seeing across many of our other clients.
Bryan Hunt: Just add to that, Anna, in terms of the size of the relationship. So given the nature of the client, it is a little bit of a small relationship as compared to a DOS agreement with a large health system, for example, given the nature of this client, but it includes our data platform or self-service analytics components. And as Dan mentioned, we've found that our data platform continues to be highly relevant for ambulatory systems like this, as well as for health systems who have an ambulatory component, because it often involves a variety of EMRs and a real data integration workflow that we excel at and can find value in so we're encouraged by that as well.
Operator: Our next question comes from Richard Close with Canaccord Genuity.
Richard Close: Yes, thanks for the questions. Congratulations. Bryan, I was wondering if you could walk through the second quarter revenue range, maybe the low end and the high end? What gets you to each, it seems a little bit wide, relatively speaking when you compare it to the annual number, so just any help there would be great.
Bryan Hunt: Absolutely. Yes. Thanks, Richard. Yes, so that the dynamic that we're seeing there in Q2 primarily relates to what we saw in Q1, which as I mentioned, was some pull forward on the technology and on the professional services side of revenues that we've previously forecasted a little later in the year. So when you adjust through that and normalized for that the Q2 number would have been a little higher, and our year-over-year growth rates and like a little bit higher. What we were trying to think through Richard on the sizing of the range, actually relates to that as well, where while the vast majority of our revenue recognition is recurring in nature, occasionally, in a given quarter, we do have some pull forward of nonrecurring items and the services side or technology go lives that can have a deferred revenue catch up. And so we wanted to be cognizant of that in terms of informing our range for Q2. The other driver of the range can be timing of deal signing. So if we have an expansion contract or new contract that occurs a little early in the quarter, that can drive some upside. So I would point to kind of a midpoint of the range as a good proxy for what we're expecting, and then again, kind of the dynamic around some of that pull forward in Q1. But overall, we're encouraged by the performance and the overall increase in visibility that we have for the remainder of the year.
Richard Close: Okay. And just as a follow up on that visibility, can you just remind us what percentage of the call it that annual number is recurring in nature, or that highly visible revenue?
Bryan Hunt: Yes, it's typically a little north of 90% in a given year, it's under contract and kind of in recurring revenue models.
Operator: Our next question comes from Daniel Grosslight with Citi.
Daniel Grosslight: Hi, thanks for taking the question. You mentioned that lower tech dollar base retention continues to be driven by modular churn of some of those more clinically focused modulars. But I'm curious given continued health system pressures , are you seeing any pushback from DOS enterprise science on the automatic escalators each year? And have you contract, have you changed the quantum of this escalator in recent contracting?
Dan Burton : Yes. Thanks for the question, Daniel. So I think you've highlighted that the tailwind and headwinds as it relates to tech dollar base retention, I think on the headwind side, we have, as we've shared today, and prior quarters, seen some of that elevated, somewhat elevated churn in those more modular client relationships, smaller client relationships, even some of our smaller DOS client relationships that are more modular in nature. So that's definitely a headwind that we believe will persist for a few more quarters at a little bit somewhat elevated level. We do believe that will come down over time. And so we'll see some benefit from that as the financial pressure on these health systems subside over time. That tailwind that helps that we continue to see is most of our contracts are more in that enterprise, and more like an all access kind of tech relationship with our clients. And those do have those built in escalators. And those escalators continue to help us as a tailwind as it relates to our database retention. But those -- there are definitely tailwind and headwinds that are combining together to kind of come up with an overall tech dollar base retention for 2023. A little more pressure on that because of those near term headwinds in the near to midterm, that should subside over time, though.
Bryan Hunt: And to Dan's point, Daniel, we also shared the we expect our professional services dollar based retention rate to be higher than technology this year. And also that's what drives more the kind of variation in the range that we provided as tech-enabled managed services contracts can be quite large and significant and really impact that range and a little more lumpy and large in nature. Bit of benefit there is that we're often to Dan's comments, locking in and renewing the more enterprise relationship over a longer fixed short term. And so that benefits us on the technology side as well as we migrate more of those clients to that model.
Daniel Grosslight: Got it. So sounds like no real pressure on the escalators themselves. And then just a quick housekeeping question, there is an $11.7 million of litigation expenses that you generally don’t, the industry is what's driving that charge this quarter.
Dan Burton : Yes. So we disclosed in the 10-K. And you'll also see some further detail in the 10-Q that we'll be filing shortly. A summary description of that litigation, which includes a large portion of that $11.7 million is an accrual. And a small portion of that is actual outside legal expenses, in preparation for that matter. So we'd refer you to the 10-Q for a little bit more detail on that.
Operator: Our next question comes from John Ransom with Raymond James.
John Ransom: Hi, good evening. I was wondering if there was an update on your life science onboarding? Thanks.
Dan Burton : Yes, absolutely, John. We continue to be pleased with the execution against that relationship. That is a relationship as we've shared previously, where we are leveraging the cloud native data platform capabilities and components that are enabling this very large health system with a very complex data environment, to be in a position to understand the opportunities for improvement clinically, financially, operationally, and then work with our teams to execute against those. This will take time, as it always does with all of our clients. It's hard to change, it's hard to produce massive, measurable improvement, but we're encouraged by the work that we're doing together. They're a great partner. And we're encouraged that we will see over time, some really meaningful results that come through that shared work. So we're pleased with that relationship. As with all relationships, there are many challenges in a very complex data environment. As life science is a very large health system. That's a very heterogeneous data environment with multiple EMRs, multiple other data sources, a very complex data environment, but we're grateful to be an important partner there and understanding that data, getting into a single source of truth, and then using the data in the analytics to guide where we prioritize our improvement efforts.
John Ransom: Great. And my follow up would be, I mean just given what [inaudible] is going to be the reset evaluations among the moderates [inaudible] point solution is, given your cash award and given the environment, is there a way to think about that opportunity? Is that more than 50% or less than 50%? Like there be, you might go shopping for some other point solutions to augment your already pretty comprehensive suite of solutions?
Dan Burton : Yes, thanks for the question, John, it is an interesting environment, that's for sure in the public markets and in the private markets. And we continue to keep our ear to the ground, keep our eyes open. But we also aren't informed by the size of the growth opportunity organically that's available to us, especially with our existing clients, I think we're really excited about really large expansions that we've recently announced with our existing clients. And we see a really large pipeline of opportunity for growth organically with our existing clients, we also see that as you mentioned, John, we have a meaningful existing portfolio that offers a lot of advantages. And so many of our clients are not yet fully taking advantage of the portfolio that we have. And so I think our prioritized focus is to keep growing organically and we see really meaningful 20 plus percent long term organic growth possibilities for us that we're excited to run against. And that's obviously very cash capital efficient as well. And I think we're tuned into that for shareholders as well, myself included, and we want to make sure that we're creating great shareholder value. And we're excited about the growth possibilities that are before us from organic growth perspective. So that's our priority for right now.
John Ransom: If I could test your considerable patients so one more. Stock comp is something that's bubbling up as a little bit more of an issue. Could you speak perhaps to the longer term view of how stock comp relates to your adjusted EBITDA? Thanks.
Dan Burton : Yes, I'm happy to share a few thoughts. And then Bryan, please add as well. So you may have had noted, John, that our Q1 stock comp as a percent of revenue has come down meaningfully from where it was last year. We have spoken at a high level that we expect continued leverage in stock comp as a percent of revenue in the months and years ahead, as a company, and as we look longer term for other companies as they mature and grow in their profile it that we would also expect to see meaningful leverage likely to see that stock based comp over time, migrate to the mid to high single digits as a percent of revenue, but that will take time. But we're certainly on that path demonstrating some leverage starting this last quarter in Q1.
Operator: Our next question comes from Shawn Dodge with RBC Capital Markets, your line is open.
Thomas Kelliher: Hey, good afternoon, Thomas Kelliher on for Shawn. Thanks for taking the questions. So you do start to have more of these tech-enabled services offerings. And I appreciate that you can use your own tech and automation capabilities. But as you grow this part of the business will more quickly. Are there any limitations just sort of how fast you can scale? And are you able to leverage offshore resources for any part of these services, if needed?
Dan Burton : Yes, thanks for the questions, Thomas. So one interesting element of these tech-enabled managed services opportunities that scales well, is the fact that in most of these cases, we are rebadging existing team members. So they're already performing the functions that our clients are going to be relying on us to perform. And so as a starting point, we just asked them to keep doing what they're doing. And then over time, we leverage more and more technology to automate processes that might have been manual in the past and deliver more efficiencies and more speed. But it scales quite well, in the sense that the team already exists in most cases, not in every case, in some case, there are some cases, we're building out the team. And in most cases, the team already exists and they're being rebadged. And so in that sense, this scales quite well. I think there is a sense in which we want to make sure from a quality perspective and a delivery perspective that we're outstanding, and that every one of our clients that chooses us for tech-enabled managed services will continue to be a reference for us. And so we're mindful of that, but we've been encouraged to see that business growing rapid and historically we've been able to absorb that growth and continue at a high level from an execution perspective. We do have a model that doesn't primarily rely on offshoring. And that is actually one of the value propositions of choosing Health Catalyst. We keep team members locally, forward deployed. And often our clients really care about those teammates. They've worked together with them for many, many years in a number of cases. And the prospect of them keeping their jobs and continuing to focus on the mission that they care so much about and supporting this health system client is an important component of Health Catalyst value proposition that we can do that, and still offer cost savings, primarily through tech. Now we are as a company pursuing various initiatives that involve global delivery. And we'll continue to pursue those initiatives. And there may be some cases where we find that global delivery can help us in different aspects of our business that could include technical managed services, we would make sure that our clients are supportive of that, that is something that will work well for our clients. And that isn't today currently a primary component of our tech-enabled managed services offering.
Bryan Hunt: And Dan's point, Thomas, we do have global team member base that's focused on, in particular, two areas, so one in support of the technology. And the other is implementation of data and the technology. And that fits well in terms of faster implementation cycles, to get to that initial ROI, and those savings a little more quickly as we deploy our technology across DOS clients as well as our technology enabled managed services clients. So we'll continue to invest in those areas as well.
Operator: Our next question comes from David Larsen with BTIG.
David Larsen : Hi, can you talk a little bit about Carle Health, INTEGRIS and Allina? When did those roll on to the P&L? And then one of the, I guess, concerns I might have been, when we've seen large revenue cycle deals in the past where vendors helping collect cash, and they're running a percentage of fees, eventually, the hospital system wants to insource that. But, Dan, I think you've mentioned a couple times we actually can improving cost trend for these clients. Just any color around this will be very helpful. Thanks very much.
Dan Burton : Yes, absolutely. David. So as it relates to your first question, and typically as we sign these relationships, and we begin with the rebadging process, from a services perspective, that's the first month where we start recognizing revenue that occurs monthly. If there's a tech expansion component to that. There are sometimes some specific deliverables that need to be in place for the tech revenue recognition to occur. But usually in that first month, when the team members have been rebadged, that's when the revenue recognition occurs. And I'll pause at first question, Bryan anything you would add.
Bryan Hunt: Yes, so for example, so Carle signing at the end of 2022 has contributed in Q1 to the revenue dynamic, INTEGRIS, more and more in Q2, Allina kind of late Q2 early Q3, that's kind of the rough cadence.
Dan Burton : Great. And then, on the second question, as it relates to the structure of our relationships, compared to maybe some red cycle type relationships, there are some differences in the way that we structure our relationships. So first of all, I think ours are a little bit simpler in their construct in that, in most cases, we're typically offering some cost savings as part of that rebadge process, usually in the first nine months or so. And it depends on how the health system client wants that cost savings to be manifested. Sometimes clients needed in that year that we're in. And so we focus more on delivering those cost savings within that calendar year as an example. Others want the certainty of knowing that there's cost savings built over time over the next five years, and they have really good visibility, and it's locked in and they know exactly where it will be. And we're open to a couple of different models there. But fundamentally, those health systems are realizing cost savings as a result of working with Health Catalyst. And as Bryan mentioned, sometimes there's a shared success component. There's shared bonus that we might share in together in some cases, and then a lot of times, we are just focused on delivering well, and the contractual component is a cost savings component. And what we've seen over time is as we deliver in an excellent way at extraordinary levels over time, that our clients are very happy to have Health Catalyst continue to manage the teams that are delivering and as we deploy technologies that enable automation to occur. And for the solution to be better, faster and cheaper. That has also led to our clients choosing to continue long term in that relationship. And then there's the contractual component, which is typically a five year relationship that the client is committed to. That then they can renew over time, but we've seen our clients have been interested in continuing and that's been the rule rather than a sort of insourcing.
David Larsen : Okay, great. Thanks very much. And then the dollar base retention rate, it's still 102% to 110% for the year and low double digit DOS as for the year for fiscal ‘23. Is that correct? Any color on that? Another way halfway through the year?
Dan Burton : That's still correct. We reiterated that full year guidance.
David Larsen : Okay. And then. Okay. Thanks very much. And then I guess just the last one I had was, there's been some discussions around your relationship with Snowflake migrating to Snowflake like, solutions? I'm assuming that that has been in process for a couple of years. Is that correct? And you basically progress at the pace that the client wants to progress that, is that right?
Dan Burton : That's right, David. And we have a few clients that are leveraging Snowflake capabilities, Databricks capabilities, other new technologies and capabilities. And we continue to make that an option for our clients as we talk about the long term migration path for them. As we've mentioned, in previous quarters, what we found especially over the last 10 months or so inclusive of my 130 or so, face to face discussions with clients, the vast majority of our clients are focused a lot more on how can we save money? How can we reduce the financial pressure, and let's focus on that right now, as opposed to scaling up new technology, productivity capabilities, which do sometimes have an ROI but require some investment upfront, before you get that ROI. That's harder for most of our health systems to do. And so to your point, we kind of follow their lead, as it relates to what's most important to them. And in the vast majority of cases, they've been more focused on how can we deliver cost savings sooner?
Bryan Hunt: In terms of the financial component of that, Dave, we have, as we've shared these mid and long term profitability targets embedded the investments that we're making in the Snowflake and Databricks capabilities, and checking into our R&D and cashflow targets, we feel comfortable there. As we've worked with debt investment, as well, as we've embedded some of that into our gross margin color on the technology gross margin side. So there is some parallel cost processing on technology as we go through that migration over the next two or three years. But there's also a long term upside in terms of scalability and the elasticity of that platform driving efficiencies in our support and delivery costs and hosting, moving forward as well.
Operator: Our next question comes from Jack Wallace with Guggenheim Securities.
Jack Wallace: Hey. Thanks for taking my questions. I just wanted to talk about the tam’s pipeline a little bit and just stepping back here, you've given out several large expansions over the last couple of quarters. And just wondering how those announcements have impacted your discussions with your existing and potentially some new customers for tams relationship, or you're even expansion.
Dan Burton : Yes, thank you, Jack for the question. They definitely help and they increase interest in our other existing clients in particular, I would say most of our pipeline, and most of our conversations that are leading towards expansion opportunities are with our existing clients where we have those relationships, but there are a few where even prospective clients are interested in finding out a little bit more about technical enabled service. So they definitely help. And this gets back to something that I shared earlier, we are very focused at Health Catalyst as we sign each one of these contracts to make sure we deliver really, really well. Because this healthcare community is a small community. They all, we all know each other. And so it's critical for us to make sure that we're delivering really, really well. And then that'll keep opening up additional opportunities.
Jack Wallace: Thank you. That's helpful. And then just wanted to ask a follow up on an earlier question around services revenue progression, just over the last couple of quarters here, and the guidance for 2Q, my understanding was that Carle was a meaningful, or at least a good chunk of the, what's called the ARR was hitting in the first quarter. And you realize there were some pull forwards also impacting the services line from just thinking about the second quarter guidance, with a couple of go lives expected there as well. what would you why would that or I guess, what would be the conditions or factors that would, you make that potential sequential bound quarter on that line? Is there attrition there, other onetime items that were called out? Or are we just maybe thinking that some of these are not going to contribute an excess of the onetime items?
Dan Burton : Yes, good question. Jackie, you cut out a little bit of I think I got the gist of it. Yes. So the Q2 commentary that we made in the prepared remarks for services with, was that we'd expect to be flat to slightly down compared to Q1 on the services line item. And that's mainly to your point driven by the nonrecurring items that were projects that we completed a little earlier than expected in our initial forecast, which is generally a good thing like we want to complete those as quickly as possible, we just don't yet anticipate that we backfill at that level in terms of Q2 or the full year guidance range. So that's the main dynamic. The other -- there are other drivers that you mentioned. And that we've called out which are, we have that continued somewhat elevated churn on our traditional consulting services model. And that's persisted in Q1 and Q2 and like we shared, we anticipate that for the next few quarters, and then also, we've shared that our bookings cadence is a little more backend weighted, so more toward the back half of the year. So you should start to see more growth as those start to come online. But we've not yet kind of included that in Q2, just given the timing of those will likely be later in the year.
Operator: Our next question comes from Scott Schoenhaus with Keybanc.
Scott Schoenhaus: Hi, team. Thanks for the questions. So it seems like you're getting nice operating leverage in sales and marketing after divesting your life sciences division. Is this more of a function of the higher proportion of upsells you're seeing from existing clients, rather than new client wins? Or is this something that we should just expect in terms of ongoing sales and marketing efficiencies on a go forward basis?
Dan Burton : Yes, great question, Scott. So I think it's, yes, they're both actually, that it is because we're seeing meaningful operating leverage as we focus a little bit more of our selling efforts on existing credit expansion. And it's, yes, to the second in terms of expecting that long term. Because I think more and more over the next several years, the foundation of our growth as a company will come primarily from existing clients expanding with us. And that's a higher leverage model. It's a lower cost model. As we've discussed in the past the Carle Health expansion is a great example where they quadruple the size of their relationship. And then we still have one account manager there that is able to represent the entirety of the relationship between Health Catalyst and Carle Health. So there's tremendous operating leverage in these deep, multifaceted relationships. And we see incredible growth opportunity there. And so we're focused there. And we also realized that having that operating leverage is an important component of this model really working. And so we do have that mindset moving forward with regards to sales and marketing and frankly, that mindset going forward in the coming years, across all our OpEx expense categories that we're thinking in terms of meaningful operating leverage, enabling us to get to those 20 plus percent long term EBITDA margins that we've talked about in the past.
Scott Schoenhaus: Thanks. That's really helpful. And then lastly, have you seen any changes in your conversion timeframes from DOS light to full DOS customers? Or are you expecting to be able to sell like full DOS solutions initially, like the Sea Mar contract without having to first sort of sell the more DOS light offering?
Dan Burton : Yes, another good question. So I think one of the trends that we're seeing is as we mentioned in our prepared remarks that with regards to prospective clients they are under financial pressure. And so it's more doable for them to start at a lower price point. And so we are moving towards more of a modular relationship there. But we're focused on modules that deliver near term ROI, which I think increases the likelihood that we can expand that relationship over time whereas historically a year, two, three years ago, I think we were open to beginning the relationship and lots of modular ways. Now we're pretty focused on those first modules, delivering a real near term hard dollar ROI. And our anticipation is that as we deliver with those clients, that there will be more of an openness to expand and deliver more ROI, through those expanded relationships. So we are hopeful that will take place. But we still recognize that it's, there's a lot of financial pressure that these health systems are under and so we got to be sensitive to that.
Operator: Our next question comes from Stan Berenstain with Wells Fargo Securities.
Unidentified Analyst : Hi, thanks for taking my questions. So you continue to see dollar base retention in a pretty wide range, when do you expect to get some better visibility into where that retention will shake out in the year?
Dan Burton : Yes, good question. So I think we think about that, Stan, first of all, as an acknowledgment that within our pipeline, we do have some larger opportunities. And those include technical managed services opportunities, and those tend to be a little bit lumpier. And a little bit harder to precisely forecast. As we mentioned, also in our prepared remarks we do expect our bookings to be a little bit more back half weighted this year than in historical years, for a couple of reasons that we described inclusive of us really beginning to proactively discuss things like tech-enabled managed services starting in the back half of last year. And our observation that it's typically around a one year sales cycle, for us to sign those contracts. So I think as we sign more of those larger contracts and get a little bit more visibility, we may be in a position to narrow that range. We don't feel like we're in that position today. But we'll kind of keep you apprised and updated as the year progresses. And one of the things we mentioned in the prepared remarks based on the size and shape and profile of the pipeline, we do anticipate that it's likely this year, that our professional services, database retention will be a little on the higher end, higher than maybe that the average, and the tech component will be a little bit lower than the average but blend together to that 102 to 110 range. And so we'll see as the year progresses, if we can tighten that range, as we get a little bit more visibility into signed contracts, especially some of the larger ones.
Unidentified Analyst : Got it. And then maybe just a quick one on the cash flow statement. I think CapEx is soft during the quarter, was by 25% below where you had an average running last year, I mean supplement dollars, but still pretty noticeable. Where are you saving on CapEx? And how should you be thinking about the progression going forward?
Bryan Hunt: So that has ticked down a little bit to your point from kind of prior year levels in terms of CapEx and investing in internal use software that we're capitalizing. And that's kind of stemming from some of the cost savings and cost trimming efforts that we did primarily last year. Most of those impacted our SG&A line items, but to some degree R&D as well. So we do anticipate that run rate to continue through 2023. The bulk of the investments that we're making in R&D in this line item are related to the Snowflake and Databricks enablement and some standardization components of our data platform. And those will continue and then begin to ramp down in 2024. So that's the current expectation. But that does give us more visibility in terms of efficiencies that we can drag in our operating leverage and in our cash flow as we marched toward the 10% midterm EBITDA target for 2025 as well as our free cash flow contribution in 2025.
Operator: Our next question comes from Geoff Garrow with Stevens.
Unidentified Analyst : Hi, good afternoon. Thanks for taking the question. I was hoping to get some more color on where tech-enabled managed services could expand beyond chart abstraction. And I'll frame it that I think in theory healthcare could manage the entire IT operation of a health system. But it sounds like you recognize some potential pitfalls and doing that. So in expanding tech-enabled managed services, how would you balance the expertise related to all the systems and data sources that feed into Dos against that healthy desire to have some real tech-enabled management of any outsourced services?
Dan Burton : Yes, great question, Jeff. And it's one that keeps me up at night in a good way. It is exciting when we have a client that asks us to maybe look into a new area. And as you mentioned, we do have a lot of experience with tech-enabled managed services around chart abstraction, the tech-enabled managed services around data management and analytics, we've done that a lot. And I think we continue to see really meaningful growth opportunities in those two anchor areas. I think some other areas, like was mentioned earlier in the call, there's so much going on in the ambulatory space, that's so important. And there's a lot of operational components to delivery in the ambulatory space that may have room for improvement. And so that could be an area where Health Catalyst works with health system clients and other clients that want to really focus on the performance in that space. I think to your point in other areas that require meaningful data and analytics to guide the activities, other corporate functions, could be other areas where we can leverage technology that we already have. We have some technology that we referenced in the prepared remarks that delivers in some of the red cycle areas, some other technology that delivers more IT efficiency. And so we have some technology assets. We have some clients that are asking us about a list of other potential areas. But to your point, we realize that we need to make sure that we're convinced that we can be a differentiated long term partner and really deliver for our clients before we move into one of these new adjacent areas. And we're excited about the areas where we have experience and we have a track record. And so that'll continue to be a primary focus. But we also want to help our clients be successful. If they need us to go in any direction and an adjacent area, we're certainly open to at least exploring it.
Operator: It appears we have no further questions. At this time, I'll turn the floor back to Dan Burton for any additional or closing remarks.
Dan Burton : Right. Thank you all for your continued interest and involvement with Health Catalyst. And we look forward to staying in touch in the months and quarters ahead. Take care.
Operator: This concludes today's Health Catalyst First Quarter 2023 Earnings Conference Call. Please disconnect your line. And have a wonderful day.